Operator: Good afternoon. My name is David, and I will be your conference operator today. I would like to welcome everyone to the SYNNEX First Quarter Fiscal 2020 Earnings Call. Today’s call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. We ask each participants to limit their question to one question and one follow-up. At this time, for opening remarks, I would like to pass the call over to Ms. Mary Lai, Head of Investor Relations. Miss, you may begin.
Mary Lai: Thank you, David, and good afternoon, everyone. Welcome to the SYNNEX first quarter fiscal 2020 earnings call. Joining me today to review our financial results are Dennis Polk, President and CEO; Marshall Witt, CFO; and Chris Caldwell, President of Concentrix. Before we continue, we remind everyone that today’s discussion contains forward-looking statements within the meaning of the federal securities laws, which statements include any predictions, estimates, projections or other statements about future events, including as to COVID-19 impacts and responses to them and the expected separation transaction. Actual results might differ materially from those mentioned in these forward-looking statements as a result of the risks and uncertainties discussed in today’s earnings release, in the Form 8-K we filed today and in the Risk Factors section of our Form 10-K and other reports and filings with the SEC. We do not intend to update any forward-looking statements. Also during this call, we will reference certain non-GAAP financial information. A reconciliation of non-GAAP and GAAP reporting is included in our earnings release and the related Form 8-K available under the Investor Relations section of our website. This conference call is a property of SYNNEX Corporation and may not be recorded or re-broadcasted without our permission. And now, I will turn the call over to our CEO, Dennis?
Dennis Polk: Thank you, Mary, and thank you for joining our call today. As we all know, the recent events surrounding the COVID19 virus has been extraordinary to say the least. All of us have been significantly impacted as individuals, communities, and organizations by this pandemic. I will provide additional commentary on the current state of our business in a few minutes. But first I want to begin by considerably thanking our team throughout the globe who has worked tirelessly around the clock to ensure the safety and well-being of our associates. I also want to extent my sincere appreciation to the team for their efforts to run our business during this time. Most all have had to deal with significant uncertainty and personal life and deal with rapid change in the business world, yet the SYNNEX and Concentrix spirit have never shine brighter and associates have performed solidly under the circumstances for our customers and clients and vendors. Given the current environment we questioned the value of holding a live call today. We believe in challenging time it is best to have transparency and the most accurate information possible deliver to all stakeholders. Since we are in a certainly different environment, we have altered our traditional format for our call. For today, I will briefly comment on our Q1 results and then discuss the current state of our TS business. And then turn over the call to Chris our Concentrix current environment updates. Marshall will follow will with a few financial topics and I will close and transition up to Q&A. Our first quarter was very good. We delivered solid EPS and margins results. While the headline revenue growth appeared muted, the underlying fundamentals were strong. Our Concentrix business grew to expectation and would have been better likely if not for the initial phases COVID-19 in Asia that impacted some of our operation starting in late January. Our TS Distribution business was very solid with above market growth overall, similar to Concentrix, there were some weakness at the end of the quarter, likely, due to the disruption in the supply chain related to the initial phases of the virus. Weighed on TS growth was our Hyve cloud manufacturing business, as we had a year-over-year topline decline. As we have indicated over the years, this can be a lumpy business. As you may recall, it was much higher than expected in Q4, thus likely just an offset in Q1. Starting off Q2, we had a very good order backlog and inventory in this part of our TS business. Moving to current quarter thoughts, our top priority is the safety and health of our associates. We have implemented necessarily protocol to minimize business disruptions and we have initiated business continuity plans. Like many others, we have been rapidly moving team members to work at home environments, institute safety policies for those that can’t work from home and manage in an environment of rapidly changing government requirements across the globe. Given the uncertainty surrounding the situation in the U.S. and around the world, we are not in a position to provide Q2 guidance. As indicated earlier though, I will provide a few thoughts on the TS business and then turn it over to Chris for a Concentrix update. In our TS business, at this point, we are seeing essentially normal to slightly positive March run rate demand. This is clearly due to the pandemic and the urgency for products to support work at home, learn at home, delivery to home, and all the health and safety personnel assisting in the crisis. In terms of our high business, our manufacturing operations are active, helping to support our main customers with their needs, which appear to have increased with the outbreak as well. Given the environment is so fluid, we don’t have the visibility to know if these rates will continue or if a drop will occur once the initial birth of demand is over and the economy is still working through the effects of this shock. Either way, we will be supporting our marketplace for what it needs and be ready for a return to a more traditional business environment. This time has definitely shown how critical our place is in the IT supply chain and how important IT and our business model will be going forward. I will now turn over the call to Chris.
Chris Caldwell: Thanks, Dennis. Despite being impacted with our China operations late in January from the COVID-19 virus, we delivered solid results in the quarter that met expectations with Concentrix continuing its trend of year-over-year constant currency revenue growth and margin expansion. We also continued to achieve synergy target ahead of schedule, see a strong pipeline and we are happy with our execution in the marketplace. With the current worldwide environment changing dramatically in the last few weeks, I would like to turn now to our thoughts on the business and what we are doing to ensure we execute, as well as we can despite the current headwinds. As Dennis mentioned, it is not completely clear how the global pandemic may affect our clients and our business volume in both the short- or long-term, nor our ability for our operations to capture the volume that is currently being given to us. Our primary operational issue to-date has been where the responses of virus by certain cities, states and countries have made it impossible for our staff to get to our offices. To a varying degree, we have seen this type of disruption for every region in which we operate. Presently, we have 230,000 staff in the Concentrix business. Of which over 150,000 are living within restricted movement and work situations that are indicated to last a few days to a few more weeks, but most likely will be extended. Of the 150,000 staff in restricted movement locations, approximately 70,000 are unable to work currently at all. As governments continue to refine our strategy to deal with the COVID-19 virus, our expectations are further restrictions will be put in place affecting many more of our staff. While we believe the majority of this business impact to be temporary as the world deals with the outbreak, certain verticals such as our travel and transportation vertical, which represents approximately $300 million annually, we believe will be impacted of 75% and take many quarters to recover. The work that our team is doing every day to support our clients and staff is consistent with emerging from the situation stronger, so that we can achieve our long-term growth and margin expansion objectives albeit on a longer horizon. We are working on a multipronged strategy to support our clients. Within the past two weeks, we have been able to over 45,000 staff to work from home and we intend to roll out thousands more over the next few weeks as long as logistics are not inhibited by lockdown orders and we gain client consents. In our sites, we have reduced density, greatly increased sanitation cleaning and splitting teams for business continuity. We are also as quickly as possible offering other technology solutions to our clients that would handle volumes in a more automated way. Many agencies have praised us for going above and beyond the documented recommendations to keep staff safe, while clients have greatly appreciated our support when other partners for our own -- for their own captives couldn’t execute. Some very generous clients have offered assistance to help us support our non-working staff during this time, underscoring the mission critical nature of the work we perform and the strength of our relationships. While we are seeing success with our initiatives, doing this at scale requires tremendous effort both in terms of resources and time. To reiterate what I said earlier, our focus remains on delivering for our clients and protecting our staff to position the company to exit the situation stronger and I am confident that our team will make it happen. As I conclude, I would like to thank all the Concentrix team members for working to meet our client’s needs under these very difficult circumstances. The effort, resourcefulness and dedication to our staff and our clients have been an inspiration. We simply have amazing staff and incredible clients around the globe. Thank you very much. Over to you, Marshall.
Marshall Witt: Thank you, Chris. Given the current environment, my prepared comments today will focus on a few key items related to liquidity, our capital return program, the status of our Form 10 filing associated with the Concentrix spin and a statement on our income statement for Q2. Regarding our liquidity position, we believe we are well positioned to cover the currently expected impacts connected with COVID-19. We also have additional loan capabilities to activate if required. As part of impact assessments or estimates, we are forecasting our DSO to increase over the coming quarters, primarily due to the major verticals affected in Concentrix and the nature of our tech solutions portfolio. For our stock buyback portion of the capital program, we had no buybacks in Q1 and terminated our repurchase program in early March. Incrementally, as you have already seen in our press release, we suspended our quarterly cash dividend effective immediately. Given the significant and sudden shock to the worldwide economy, we believe our capital is best used over the near-term to support our business associates, customers, partners and related strategic priorities. Regarding the Concentrix spin that we announced at the start of the year, until our priorities changed with the virus escalation, we were far ahead of our execution plan. We filed our Form 10 in February on a confidential basis for speed and efficiency purposes. With our banking partners, we made significant progress on the final spin financing for Concentrix and completed most of the internal administration related to the spin. As a result, we were planning to announce on this call that the spin would occur more likely than not at the start of our Q3 or June 1st of this year. We are still currently committed to doing the spin. But it will be delayed as our primary focus will continue to be on managing our business on a day-to-day basis. As a reminder, details of this previously announced separation can be found on our IR website. As Dennis noted, we will not be providing Q2 guidance, given the global uncertainties, the unpredictability of supply and demand, our ability to maintain adequate inventories and our delivery capabilities as a substantial amount of work has migrated to work from home or is on pause. These disruptions were discussed today and what’s ahead of us are expected to negatively impact our profitability. Based on what we see today, our estimate is that non-GAAP operating profits earned in Q1 will be substantially given back in Q2, keeping in mind that our precision around Q2 results has a high level of uncertainty. This was primarily due to the restricted staff movements noted by Chris, the investments we have made and will continue to make to ensure our physical environments are safe for our associates and an expected overall slowing economic environment. We believe Q3 will be a recovery period and Q4 is expected to be closer to traditional expectations, should the pandemic start to subside over the next two quarters. I must emphasize that these are very preliminary estimates at this point and could materially change. Overall, we are disciplined in our expense and balance sheet management approach. As such, we believe we are positioned to withstand this rapid change in economic activity and have the experience from previous episodes to draw upon with current expectations that we return to a more stable environment at the end of the year. Just like everyone else, we are learning new information in hours and gaining more clarity every day. In the meantime, we are committed to investing for long-term growth and creating consistent and sustainable shareholder value. I will now turn the call back to Dennis.
Dennis Polk: Thank you, Marshall. As Marshall indicated, our focus is fully on all SYNNEX and not the spin right now. We were very pleased by the market reaction and support from our investors when we announced the transaction, a real validation of the Concentrix team and its business. The reality at this point is that we can’t bring this business to the market as an independent company when the focus would be on the virus pandemic, response and recovery. We will bring Concentrix to the market when the focus will be back on the strategies and prospects of the business. As I wrap up our prepared remarks, I want to thank again all our dedicated associates for doing everything possible to navigate these extraordinary circumstances. Most specifically, as Chris noted as well, I want to sincerely thank all our associates around the globe who cannot work at home, given their responsibilities. It is impossible to put in words the entire company’s appreciation. Lastly, we are grateful for the support of our business partners and shareholders. Our thoughts are with those who have been affected by COVID-19. Please stay safe and healthy. With that, we will turn the call back to the operator for questions. Please note that as you would expect, the management team is in multiple geographies, so we may be a little slower to responding than normal.
Operator: [Operator Instructions] Your first question comes from the line of Matt Sheerin with Stifel. Your line is open.
Matt Sheerin: Yes. Thanks and good afternoon all. I will start by saying that we appreciate you holding this call and taking questions in spite of the lack of visibility, uncertainty here. Just first couple of questions regarding the Concentrix business, Chris, you talked about the impact from the travel business. I think you said that’s a $300 million revenue run rate a year. What other segments are you seeing a big impact in terms of a drop-off in demand?
Chris Caldwell: So, it’s primarily, Matt, the travel and transportation vertical that we mentioned. So that’s traditional airlines, booking sites, vacation types of planning sites. Other industries that we are seeing slight impact is some of the newer fintechs that might not necessarily have the market share that traditional financial institutions had. We are seeing though higher volume in healthcare, the traditional financial companies that you are -- you can imagine, as well as some of the insurance verticals as well. So it’s a bit of a balance, but that particular vertical is the one that is largestly impacted with, we feel, the length of recovery being significantly longer than any others.
Matt Sheerin: Got it. And in terms of the number of employees that are unable to work, are you paying them or are there some government mandates in certain areas where you have to pay the employees?
Chris Caldwell: So, Matt, by principal the company we pay the staff. There are some government mandates that are publicly out there, where they have requested that there will be continued payments for a period of time and/or inability to do any change of staffing levels. That really is a jurisdictional -- by jurisdictional conversation, but currently right now, we are paying the individuals who are in a period of not working due to restricted travel or restricted movement.
Operator: Your next question comes from the line of Vincent Colicchio with Barrington Research. Your line is open.
Vincent Colicchio: Yeah. Chris, thanks for taking the questions. How many -- just to give us perspective, how many at-home agents that you have before the crisis, I think, you said you have 45,000 now, just looking for comparison?
Chris Caldwell: Yeah. So prior to the crisis we had about 5,000 work at home agents globally, and so, we have rolled out additional 45,000, so we are close about 50,000 right now agents working at home processing work. Clearly, we have other support services and shared services are working from home, but just from a revenue producing you can think about a little over 50,000.
Vincent Colicchio: And any sense for capacity, like, how many you could ramp up in the next month, for example?
Chris Caldwell: Yeah. So, Vince, it’s an interesting conversation, it really is a couple of different parts. We -- one have to make sure that we operate in the countries that have the infrastructure and that our staff have the appropriate infrastructure to support that sort of high speed Internet, clearly, we have been doing a very good job of rolling it out in those different geographies. And then, the second one is, so it’s also dependent on client IT systems. So we are in that working through with our clients right now. We expect that we continue to grow that number pretty significantly, as you can see in two weeks, 45,000 is significant and our expectation is provided there is no logistical impacts, we continue to grow, probably, not to another 45,000 in two weeks, but certainly we continue to grow that number.
Operator: Your next question comes from the line of Tim Yang with Citi. Your line is open.
Tim Yang: Hi. Thanks for taking the question. Can you talk about your debt principal payment schedule, I believe in your annual filings, you have roughly $300 million debt due within one year and then $1.2 billion due within three years. Can you maybe just elaborate a little bit on how much is due in the next 12 months to 24 months and then I have a follow-up.
Marshall Witt: Hi, Tim. This is Marshall. We have two term loans. We have one for $1.1 billion that matures in September of 2022 and the second term loan for $1.7 billion matures in October of 2023.
Tim Yang: So, basically $300 million of debt repayment for the principal within one year, that’s the largest one that you are going to pay back for within 12 months? Is that the right way to think about it?
Marshall Witt: We have normal revolvers that flex up and down as we need them.
Tim Yang: Got it. Okay. And then on your SMB activities in the U.S., you are selling to value-added resellers. With this uncertain environment, how should we think about the receivables write-off risks then if you have customers that are facing bankruptcy issue?
Marshall Witt: Yeah. To-date we have seen very little customer risk but clearly in the environment we are in. One thing that’s very encouraging is what I will just say a great kind of like collaborative partner-vendor connection. There is a lot of industry-wide collaboration under way with both of our channel and our vendors. Clearly understanding the importance of the vital role we play in the supply chain. So, to-date, other than my prepared comments about expecting some extensions of DSO, we don’t expect there will be significant more risks as we see it today.
Operator: Your next question comes from the line of Adam Tindle with Raymond James. Your line is open.
Adam Tindle: Okay. Thanks. Good afternoon. Dennis, I just wanted to start with some TS questions and maybe if possible in the interest of transparency some help with the virus related impact. I assume that was primarily in the month of February. Were you tracking -- where we tracking relative to guidance entering February, so we can have some sense of the impact? And I think you mentioned that it has gone to a slightly positive run rate and demand in March, I was trying to understand is that a year-over-year growth costs in TS?
Dennis Polk: Yeah. Sure, Adam. So two things there, one, with regards to the TS distribution in Q1, we performed better than our internal expectations and grew very well year-over-year. What occurred in the quarter was though the TS Hyve business, as I said in the prepared remarks, was down year-over-year. To your question about the end of the quarter, even with the challenges, as I said, TS did very well, but it did suffer a little bit of decline in volume right at the end of February, again, likely due to the challenges coming out of Asia and the supply chain. Regarding the month of March and our start, yes, that was a year-over-year comment, we are running at a slightly higher rate year-over-year through today’s numbers.
Adam Tindle: Okay. That’s helpful. Thanks. And maybe just as a follow-up, just potential update if possible on that Hyve customer shift that you talked about in the back half of 2020 on the previous call, which supposed to lower Q3 and Q4 revenue by about $600 million a quarter, but have no material change to earnings potential, should the volumes of the customer continue at existing levels. I guess where is the volume with the existing customer? How can we think about the earnings potential as a result?
Marshall Witt: Yeah. Adam, this is Marshall. So no change in those comments other than the start date for that confinement program was pushed out a couple of months. So now we are thinking it’s going to be toward the end of August, call it, Q4 is when we will see that number that we described is about $600 million a quarter, move out of revenue. But as you just read from our script last quarter, we still expect to continue to grow in that relationship.
Operator: Your next question comes from the line of Ananda Baruah with Loop Capital. Your line is open.
Ananda Baruah: Hi, guys. Yeah. Good afternoon. Thanks for doing the call as well. It’s much, much, it will be much better for the stock than not doing it, no doubt. I guess I have two if I could. Marshall, just for clarification, you said, you believe the op profit that you earned in the February quarter will be given back in the May quarter and so is that how we should think about just whatever you did in Jan, I mean, sorry, in Feb, the loss will be that much more and will be that -- about that in May, I just wanted to clarify that? And then I have a follow-up question. Thanks.
Marshall Witt A - Marshall Witt: Yeah. Ananda, you are right. That’s our best estimate right now as we look at Q2. But you heard my prepared remarks, lot of uncertainty around that, but that’s our best guess. Again, framing out what we believe to be a recovery in Q3 and then back to normal business in Q4.
Ananda Baruah: And just real quick, if I could sneak this in, December, no, sorry, Q4, November quarter, when you say back to normal, can you put some context around normal for us?
Dennis Polk: Hey. Ananda, it’s Dennis. We are -- again we are -- given our best estimate as we see things today. Clearly, we do not know how things are going to play out over the coming weeks, months and quarters. We are just making an assumption that there is going to be two quarters of a shock to the business and we get back to a more normalized environment in Q4. How that plays to our numbers remains to be seen, but that’s our best estimate today.
Operator: Your next question comes from the line of Ruplu Bhattacharya with Bank of America. Your line is open.
Ruplu Bhattacharya: Hi. Thanks for taking my questions and congrats on the quarter given the difficult environment. It was good results. Maybe Marshall to start-off with, you talked about DSOs probably expanding given the environment, can you talk about what do you think -- what you are thinking of in terms of working capital management? How do you see the cash conversion cycle extending and how should we think about cash flows…
Marshall Witt: Sure.
Ruplu Bhattacharya: …for this year? Thanks.
Marshall Witt: Yeah. Yeah. I will try my best. As you know, within distribution, there is a partner-customer relationship there, so to some extent we are able to manage inflow and outflow. But with that said, we still expect there to be an extension to DSO. My comments around adequate liquidity from a cash perspective and additional lines that we can draw, we feel very comfortable being able to weather the storm. On the Concentrix side, their DSOs will extend. So that also is part of our thoughts of what that might look like over the next, call it, couple of quarters.
Ruplu Bhattacharya: Okay. Thanks for that. And then as we approach the split, any thoughts on how you see the capital structure for each of the entities at the time of the split?
Dennis Polk: Yeah. So the thought right now, what we shared last quarter is that, it’s going to be a 50-50 split. So thinking about our total debt of around $3 billion translates that to $1.5 billion and $1.5 billion debt. That’s fluid and could change a little bit as we move forward, but that was our thought. And then keeping in mind that’s what’s presented or represented in the F-10 that will be coming out shortly.
Chris Caldwell: And I would just follow on that on both those questions in that, everything we are trying to do today is offer our most conservative view possible. Again, as I said earlier, things change rapidly every day and we do not know what’s going to happen over the coming weeks and quarters. But in preparing everything for today and all of our comments, we are doing our best to be as conservative as possible and we hope to come in better than these expectations as we call them out today.
Operator: Your next question comes from the line of Shannon Cross with Cross Research. Your line is open.
Shannon Cross: Thank you very much. Dennis, can you talk a bit about what you are seeing in terms of demand within TS. I know you said work from home solutions and learn from home solutions. But can you be a little bit more specific. I am just trying to figure out the link that this benefit will happen. I know nobody really knows, but maybe if we know a little bit more about where you are really seeing the demand, we can make some guesses and then I have a follow-up. Thank you.
Dennis Polk: Yeah. It’s really all of the areas I talked about it in the prepared remarks, Shannon. There is -- obviously, from a product standpoint, there is a high demand for pretty much everything that we are selling and that’s going into enabling people to work or service their business remotely. And that seems to be the consistent method we receive from all the customers that are a reaching out to us now with their product demand.
Shannon Cross: Are you finding shortages of any of the products that you want to be shipping out at this point in time, because you mentioned an issue at the end of the last quarter with regard to supply chain, so has that sort of alleviated itself?
Dennis Polk: What I’d say is, it alleviated itself at the start of our quarter. Again, we are only three weeks into it -- three and a half weeks. But since the pandemic has really ramped up, I’d say, that has started to go away and now we are starting to see more shortages and more delivery SLAs lengthen out on a pretty regular daily basis and so we are planning for the quarter that pretty much anything we order will be -- it will take longer than normal to receive at this point in time.
Operator: [Operator Instructions] Your next question comes from the line of Ananda Baruah with Loop Capital. Your line is open.
Ananda Baruah: Hey. Thanks guys for the follow-up. Yeah. So just following up on Shannon’s question. So is -- with regards to the op profit sort of color for the May quarter. Is that largely due to Concentrix right now, I mean, I know the demand could flow in TS and if it does, perhaps, your view could change. But is the op profit color for the May quarter, is that largely or entirely due to what you are seeing in Concentrix?
Dennis Polk: Yeah. Ananda, this is Dennis. Yeah. That’s an assumption you can make. Clearly from Chris’ comments, we have a lot of folks who are unable to come to work and if they are unable to come to work, it’s difficult for us to build. So we will have a more of an expense drag, if you will, in that business versus TS. The only thing I’d say on TS is, back to the commentary we just had a few seconds ago, as long as the product continues to flow in, I said, it’s getting tighter and there are some shortages here and there, but we are seeing product flow. But as I said earlier as well, all these comments are based on what we know today. So if the product flows in a consistent matter as today then TS should play through reasonably well this quarter. If product flow changes then, obviously, our comments are different.
Operator: At this time, there are no more questions. I will turn the call back to the CEO, Dennis, for closing remarks.
Dennis Polk: Okay. In closing, I just want to thank the entire SYNNEX, Hyve and Concentrix team for their incredible efforts once again. And to everyone, I really have high confidence we will emerge from this crisis better and stronger. I wish everyone to stay well. Thank you everyone. Good night.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.